Operator: Good morning, and welcome to the CEMEX Fourth Quarter 2020 Conference Call and Webcast. My name is Chuck, and I’ll be your operator for today. [Operator instructions] Our host for today’s call are Fernando Gonzalez, Chief Executive Officer; and Maher Al-Haffar, Chief Financial Officer. And now I’ll turn the conference over to your host, Fernando Gonzalez. Please proceed.
Fernando Gonzalez: Good morning, and thank you for joining us today on our fourth quarter 2020 conference call and webcast. I hope this call finds you and your families in good health. I’m joined today by Maher Al-Haffar, our CFO. Before we start, I would like to take a moment to express my gratitude to our employees who have risen to the challenge of COVID and adjusted their work habits to act safely and effectively and to still deliver results. However, despite our best efforts to keep employees safe, we have lost treasured colleagues during this pandemic. I would like to recognize these individuals and their important contribution to the company and to extend my sympathies once again to their families and friends. And now we will spend a few minutes reviewing the business, and then we will be happy to take your questions. 2020 was one of the most challenging years we have faced, but it also was a remarkable year that tested the strength of CEMEX and several of our recent strategic initiatives. I’m proud of our performance, the organization and how we responded to the sudden arrival of coronavirus in our footprint. We reacted quickly and forcefully to a highly uncertain situation. We prioritized the safety of our employees and customers, while ensuring business continuity, financial flexibility and protecting the future of CEMEX. The investments that we have made in distribution and digital platforms paid off in the pandemic, while our emerging market footprint shown true as competitive advantage. And as visibility improved, we were agile and adjusted quickly to take advantage of developing opportunities in our markets. Our customers rewarded our safety, reliability and consistency efforts with the highest net promoter score in our history. Importantly, our score is now in line with the NPS of some of the world’s most recognized consumer brand companies. Despite the enormous disruption of COVID-19 throughout our operations, we were able to close the year with a 7% expansion in EBITDA on a 1% rise in sales. EBITDA growth was largely driven by pricing and Operation Resilience. We posted the lowest OpEx as a percentage of sales in our history in 2020. The first two months of 2020 went according to plan with year-over-year growth in all our geographies. In February, however, COVID-19 cases began to escalate, first in Europe; South, Central America and the Caribbean; and the Philippines. Governments devised their own individual playbook to combat the virus and imposed lockdowns of many different shapes and sizes. The severity of those lockdowns very much determined industry performance. The U.S. and parts of Central Europe were relatively unaffected. Mexico, under the lockdown measures, the industry was limited to bagged cement for the retail market and essential infrastructure, a regulation that significantly impacted formal construction demand. And in other regions, such as the UK, Spain and France, while the industry was open, strict social prescriptions impacted demand. And finally, in a number of SAC countries as well as the Philippines, the construction industry was shut down for weeks or even months. As restrictions came off in various markets, we experienced a V-shaped recovery in cement demand and in our two most important markets, year-over-year growth. But the same was not true for ready mix, aggregates and bulk cement in Mexico and SAC. In these geographies, these products have a much higher exposure to formal construction than bagged cement. Using ready mix as a proxy, you can see that the recovery has been much slower than cement in reaching pre-pandemic levels. We believe that this behavior can be explained by government restrictions, economic uncertainty and the playbook of governments to focus their limited resources on the pandemic. This formal sector recovery process will be an important driver of both ready mix and aggregate demand in 2021 as GDP growth returns to this market. As you know, we announced Operation Resilience in September to address changes in outlook arising from COVID-19. Despite the volatile year, I’m happy to report that we have made progress against our medium-term goals. We finished the year with a 19% EBITDA margin, an increase of 90 basis points and roughly halfway to our 2023 target. With regards to our capital allocation plan, the pandemic has somewhat delayed execution against these goals. Last week, we announced our first asset sale for close to $50 million, and we are confident there will be more to come. We did make important strides in our number one priority of debt reduction in 2020. Our net leverage ratio declined one tenth of a turn for the year and is down the half turn since the peak in second quarter. Our COVID-19 cost freeze significantly restricted CapEx in 2020, thereby postponing much of the planned strategic investment. Our new business of Urbanization Solutions, however, has continued to grow as a result of prior-year investments. For full-year 2020, EBITDA from our Urbanization Solutions grew 15% year-on-year and accounted for 6% of total EBITDA. Due to COVID-19, our net CO2 emissions are stable versus the prior year. This is an important metric for us, and I will go into more detail on the next slide. 2020 has been a busy year for us in the sustainability front. In February, we rolled out our sustainability goals for 2030 and 2050. The goals are aggressive with a commitment to reduce carbon by 35% by 2030 and an ambition to deliver net-zero concrete globally by 2050. We have a lot of confidence in our ability to achieve these goals, particularly the 2030 goal, where we rely only on technologies known to us and that we have used previously. Our confidence is also rooted in our experience in Europe, where the region has already secured the 35% reduction target and has committed to a 55% reduction by 2030. The European business will lead the way for us in our sustainable transformation. With clearly established goals, we need to execute against them. We have a detailed roadmap on a plan-by-plan basis that has been validated by Carbon Trust, an internationally recognized consulting company that provides a rigorous third-party assessment of carbon reduction plans. In 2020, carbon emissions were flat versus the prior year due to a shortage of alternative fuels in certain key markets caused by COVID-19 supply chain disruption. In 2020, alternative fuels constituted 25% of total fuels, an approximately 3 percentage point decline from 2019. Despite the decline in alternative fuel usage, I’m happy to report that there were some important advancements for us in 2020 that will pay off in 2021. We reduced clinker factor by 1.1 percentage points, the largest decline in five years. We retrofitted all our plants in Europe to utilize hydrogen injection. This will allow us to achieve a higher alternative fuel substitution as well as reduced heat consumption in a significant way. We are now expanding hydrogen injection to the rest of our operations. And finally, the 2020 deferred CapEx will be executed in 2021 and will provide an important lever to make up for the ground that we lost on carbon due to COVID. I’m very confident in our ability to reduce carbon materially in 2021. Despite the continued challenges of the pandemic, fourth quarter was abundant quarter. We reported the highest fourth quarter sales since 2014 and the highest fourth quarter EBITDA since 2016. Importantly, momentum is accelerating in most markets, suggesting that most countries are positioned at a favorable point of the cycle. In Mexico, bagged cement maintained its growth cadence while we saw continued recovery in the formal sector, leading to the largest quarterly volume increase since at least 2007. In the U.S., we achieved the highest reported full year EBITDA since 2007 and the highest cement volumes since 2016. This is without adjusting for asset divestments. Gains in working capital led to strong free cash flow generation, which we directed toward debt repayment. Finally, we achieved the fourth consecutive record quarterly NPS score with year-over-year improvements in all regions. The 9% growth in sales with EBITDA growing at twice the sales rate speaks to the momentum of the operations. Importantly, each of our four regions contributed to EBITDA growth. Our Operation Resilience cost savings initiatives were an important factor in our margin performance and were largely responsible for the 1.2 percentage points improvement. Against what was already a very difficult comp, we were able to outperform the prior year free cash flow execution. Looking at full year 2020, we achieved the highest free cash flow after maintenance CapEx since 2017. Volume growth driven by the U.S. and Mexico, was the biggest contributor to EBITDA growth. Operation Resilience, cost savings, volumes and a decline in fuel cost added to margins. Fixed costs rose due primarily to higher maintenance in fourth quarter as we executed deferred projects from earlier in the year. Importantly, we registered the smallest FX headwind in five quarters as the super dollar trend appears to be unwinding. As I mentioned, Operation Resilience was an important contributor to margin improvement. We achieved our targeted amount of $280 million for the year, equivalent to 2.2 percentage points of EBITDA margin. SG&A accounted for the majority of savings with reduction in fees, sales, travel and head count expense. All regions had significant cost reductions. We expect 70% of these savings to be recurring. For 2021, we will maintain the same cost restrictions and offset the nonrecurring 2020 costs with savings from initiatives already implemented in the prior year. Our U.S. operations continued to enjoy strong momentum in the fourth quarter, driven primarily by the residential sector and mild weather throughout our footprint. Cement volumes rose 15% with most key states enjoying double-digit growth. Our aggregates and ready-mix volumes increased by 7% and 6%, respectively. The significant volume growth speaks to our geographic footprint in the U.S., the unusual dynamics in California, where customers have been on allocation for much of 2020, a change in the reporting treatment of inputs as well as on market share gain. After several years of consistent market share loss in a number of markets in the U.S., in 2020, we recovered part of that loss. We believe our current market share is sustainable, and our focus will remain, as always, on value before volume. For the full year, cement volumes grew 8%, while aggregates and ready-mix grew 4% and 1%, respectively. Residential was the largest driver of demand with annualized single-family start reaching 1.3 million units in December, the highest level since 2006. Infrastructure was also supportive. Construction spending for highways and streets was up 8% in fourth quarter, while contract awards for our four key states rose 10% in 2020. The industrial and commercial sector was weak, but importantly, we have seen a pickup in the construction of cement-intensive distribution centers in our footprint. Cement prices in the quarter were slightly down sequentially. This decline relates to a geographic mix with substantial growth in California as allocation restrictions ease and a change in reporting treatment of inputs. As you know, 2020 April price increases were disrupted by COVID-19. Given this disruption and taking into account the tight supply/demand in our U.S. footprint, we are optimistic regarding 2021 pricing initiatives. EBITDA margin expanded by 250 basis points, reflecting higher volumes, improved logistics and savings from Operation Resilience. These benefits were partially offset by rising imports in sold-out markets. For full year, the U.S. achieved a 2.1 percentage point margin expansion, the best performance since 2016. Given the tight supply dynamics in the West, we intend to capture some of these synergies offered by our adjacent Mexican business. We plan to reopen a 1 million metric ton kiln at our CPN cement plant in Sonora, Mexico to meet cement supply shortages in California, Nevada and Arizona. For 2021, we estimate cement, ready mix and aggregates volumes to grow low single digits. This guidance reflects continued growth from the residential sector and a stable infrastructure activity. We believe our states will continue to grow at a faster pace than the nation due to residential preferences and resilient transportation budgets in our footprint. Fourth quarter single-family permit data up 25% year-over-year, gives us confidence that the strength in housing is sustainable in 2021. We expect infrastructure activity to be stable. Federal government funding for highways and streets is unchanged with the recent extension to the FAST Act, while state DOT budgets in our footprint are slightly higher year-over-year. We are optimistic about the prospects of a Biden infrastructure stimulus plan and the potential for the first significant increase in federal transportation funding in over a decade. While the impact of additional federal monies would not be felt until 2022 at the earliest, passage of a program would give increased confidence to states in executing their own transportation expenditure. Regarding the industrial and commercial sector, we expect the construction of distribution centers and warehouses to accelerate in 2021, possibly offsetting the weakness in other segments. With most of our markets in sold-out status, incremental demand will rely on inputs that pose a headwind in terms of margins, but provide valuable incremental EBITDA with relatively few fixed costs. In Mexico, cement volumes during the quarter grew 17%, fueled primarily by the informal sector. Bagged cement maintained its double-digit growth, while recovery in the formal sector led to improved performance in bulk and ready-mix volumes. Ready mix, aggregates and bulk cement continued to show sequential improvement. Government social programs, home improvements in lockdown and strong remittances continue to drive the extraordinary momentum in bagged cement. Our national footprint, strong distribution network and digital platforms have been important competitive advantage to capturing this growth during the pandemic. In infrastructure, the administration’s flagship projects are entering the more cement-intensive stage and should drive demand. Activity in formal housing has picked up in the last months due to low inventories and attractive mortgage rates and financing terms. In fourth quarter, house starts in Mexico increased 12% year-over-year, while permits were up 6%. The industrial segment has reactivated with the construction of warehouses along the border and distribution facilities designed to meet the growing needs of e-commerce in Mexico. We expect the USMCA and U.S.-China dynamics will provide tailwinds for industrial work. Despite a difficult second quarter due to lockdown restrictions, demand volumes rebounded in the second half to finish the year with 6% growth. Ready-mix and aggregate volumes declined for the full year, reflecting the larger impact of lockdown on the formal sector. We announced pricing increases for cement and ready mix effective January 1. Although it’s still early, we are optimistic on the traction as industry prices have lagged input cost inflation for the last few years and supply/demand dynamics are supportive. EBITDA margins during the quarter increased close to 1 percentage point, mainly due to higher volumes and prices as well as our cost reduction initiatives. Capacity utilization is running high in the country, and we remain on track for the start of our new line at Tepeaca in the second half of 2021. The additional 1.5 million metric tons will help us better serve the growing Central and Southern region of Mexico, while providing savings from higher efficiency and improved logistics. For 2021, we expect our Mexican cement volumes to grow between 2% and 5%. While we anticipate that bagged cement growth will ease in 2021, it should be supported by a higher budget for government social programs and pre-electoral spending arising from the most comprehensive election in Mexico’s history. Bulk cement demand should continue to benefit from the gradual recovery of the formal sector, coupled with a base effect arising from the second quarter 2020 lockdown. Ready-mix and aggregates volumes are expected to grow 8% to 12%. The higher growth estimate reflects the larger participation of the recovering formal sector as well as the second quarter 2020 days effect. In 2021, we expect to see a pickup in residential and industrial construction, coupled with the acceleration in the government flagship infrastructure projects. The $25 billion private public infrastructure plan should also provide upside to our volumes. In our EMEA region, EBITDA grew 8%, driven by Israel and our Western European markets. On a like-to-like basis, adjusting for FX, EBITDA grew 5%. EBITDA margin slightly decreased as higher volumes and cost savings were more than offset by price declines in Egypt and the Philippines due to competitive pressures. With generally good weather in Europe in fourth quarter, we again saw performance differences between our Western and Central Europe operations. Volumes declined in the UK and Spain as lockdown restrictions were reimposed, while they rose in Germany and the Czech Republic. Construction activity continues to be driven by infrastructure and housing. While the imposition of new lockdowns in Europe did affect demand in some countries, the impact was significantly less than what we experienced in second quarter. Prices in Europe were up between 2% to 3% year over year in local currency terms for our three core products. Phase 4 of the European Union submission trading system commenced on January 1, and under this protocol, carbon cost for the industry will increase significantly. We believe we are well-positioned for this new chapter as we have sufficient carbon allowances to cover our European operations through 2030 under current regulation framework. We will use this advantage to transition toward our 2030 carbon goals. Israel continued to break volume records in fourth quarter with ready-mix and aggregates growing double digits. For 2020, Israel was the fourth largest contributor to consolidated EBITDA. While the pandemic negatively impacted demand in the Philippines in the second half, volumes were further disrupted in the fourth quarter by several typhoons. Prices were down sequentially due to competitive pressures. Despite the drop in volumes and prices, margins were up 2.3 percentage points due to our cost containment efforts. For more information, please see our CHP quarterly earnings, which will be available on Monday, February 15. For 2021, we expect cement volumes in Europe to be stable for cement, ready-mix and aggregates. The infrastructure and residential sectors will continue to drive demand. Germany, Poland and the Czech Republic are expected to maintain healthy construction activity, but will face a tough comparative base given the strong performance in 2020. The UK, France and Spain should see improved volumes as these markets were heavily impacted by severe lockdowns in the second quarter of 2020. In the Philippines, we are expecting cement volumes to grow between 4% and 6%, supported by a pickup in economic activity and a 2020 base effect from the closure of the industry. In Israel, we are expecting ready-mix and aggregate volumes to decline between 2% and 4%. The guidance reflects the fact that the business has been operating at a record pace and the completion of several large projects. Our South, Central America and Caribbean operations continued growing during the quarter despite the reimposition of new lockdown measures in certain countries. Regional cement volumes increased 6%, reaching the highest quarterly volumes since the second quarter of 2018. The increase was driven primarily by double-digit growth in the Dominican Republic and TCL. For 2020, our cement volumes declined 8% due to the second-quarter closure of the construction industry in Colombia, Panama and Trinidad for periods of between six weeks and five months. Despite the volume decline, local currency prices increased 4%, largely due to Colombia and the Dominican Republic. EBITDA for the region increased 11% during the quarter with higher contributions from our TCL operations, Dominican Republic, Colombia, Guatemala and Costa Rica. Regional EBITDA margin increased 70 basis points due to higher prices, cost reduction initiatives and lower fuel prices. In Colombia, activity continues to be driven by the residential sector and the execution of 4G highway projects. The housing sector is benefiting from low interest rates, government subsidies to low-income housing and higher remittances into the country. While industry cement volumes in Colombia grew in the low single digits during the quarter, the decline in our cement volume reflects the entry of new capacity by a competitor in late 2019. The outlook in Colombia remains favorable, supported by fiscal stimulus measures, including investments in social housing, execution of the existing 4G highway projects as well as the rollout of the new 5G infrastructure program. For the year, we expect our cement volumes in Colombia to increase 9% to 11%. In the Dominican Republic, cement volumes grew 13% on a year-over-year basis on the back of increased activity in the self-construction sector. Strong remittances and home improvements during quarantine dropped demand for our products. For 2021, we expect cement volumes in the Dominican Republic to increase 3% to 5%. We have announced pricing increases for the beginning of the year in Colombia and the Dominican Republic. For additional detail on this region, I invite you to review CLH’s quarterly results, which were also published today. And now I will pass the call to Maher to review our financial performance. Maher?
Maher Al-Haffar: Thank you, Fernando, and good day to everyone. As Fernando has mentioned, after a volatile first half, strong operating results in the back half of the year have allowed us to further strengthen our financial profile. And now let’s move to the next slide. Despite some of our dire second quarter scenario planning, our full year free cash flow after strategic CapEx actually improved by about 60% in 2020. This was primarily driven by operational performance, lower maintenance and investment in working capital. Operation Resilience cost containment measures, including working capital, paid off and we achieved the highest free cash flow after maintenance CapEx since 2017. The working capital gains are largely a result of timely management through the crisis. For the full year, we achieved a record average working capital days of minus 14 days versus a minus nine in 2019. Our lower expenditure on maintenance CapEx largely reflects the hard stop in nonessential CapEx established in late March as a response to COVID. During the second half, we resumed more normalized levels of maintenance, albeit at a slower pace than the second half of 2019. The increase in other cash items is explained by severance payments, COVID-related expenses and lower fixed asset sales. Our improved net income for the quarter reflects better operational results as well as some one-off expenses in fourth quarter of 2019. Our full-year net loss is attributable to the noncash impairment of approximately $1.5 billion that was disclosed in our third quarter results. 2020 was a volatile year from a financial management perspective and was a test of our ability to be agile and adjust quickly to rapidly changing conditions. We came into the year with expectations of moderate operational growth and plans to advance on some of our medium-term strategic initiatives. In the first quarter, we bought back CEMEX shares to increase our ownership of CHP through a rights offering and paid the $520 million convertible. When COVID hit our operations in late March, we reacted quickly and pivoted to prioritize liquidity in a highly uncertain environment. We implemented a hard stop on all nonessential expenses and CapEx, conserved cash, drew down on all available financing, eased leverage covenants and took advantage of the first reopening of the capital markets in June, albeit paying a premium to be the first emerging market high-yield corporate to access the market since the pandemic began. We also started the process of amending our bank facility to extend near-term maturity. As visibility improved, we used our historically high cash position to pay down debt and finalize the extension of maturities under the bank agreement. We resumed our liability management program and accessed the market again in September for $1 billion issuance at a spread that was 220 basis points lower than our June issuance for a longer maturity, and we resumed a more normalized CapEx program. Additionally, with more operational visibility, we returned to some of our medium-term initiatives. We moved forward on a tender offer for CLH shares in December, increasing our ownership to approximately 93%. COVID-19 served as another reminder of the importance of continuing to increase financial flexibility in our business. We took advantage of our response to the crisis to do just that. We pushed out our closest medium-term maturities, we conserved serve cash to pay down debt and we redenominated some of our U.S. dollar debt into our most important emerging market currencies, the Mexican and Colombian pesos. And as of December, we have made important inroads into reducing our leverage ratio. As we came into 2021, we strengthened our financial profile by issuing our largest and lowest yielding U.S. dollar bond at a yield of 3.875%. The proceeds will fund our liability management exercise, which will conclude in a few days. And we’ll lock in close to $50 million of savings in interest expense for 2021. The maturity profile shown here is pro forma after giving effect to the January 1.75 billion bond issuance and the ongoing liability management exercise. As you can see, we continue to have a comfortable profile with no material debt maturities until July 2023. We have significantly extended the average life of our debt while lowering the cost of funding. Our average life is now at more than six years compared to 4.8 years in December of 2019, while our current cash cost of debt is at 4.8% versus 5.2% at the end of 2019. Going forward, we will continue to take advantage of liability management opportunities and to maintain a runway without significant maturities of about 24 to 36 months. Excluding the unfavorable FX effect of $256 million, we reduced net debt by more than $1 billion during the year with free cash flow and asset divestments. Other uses of cash during 2020 include the buybacks of CEMEX shares done early in the year, the purchase of CLH’s shares, payment of financial fees and bond premiums in our refinancing efforts, among others. Our leverage ratio as calculated under the facilities agreement was reduced by a tenth of a turn. It is important to mention that the definition of net debt under this leverage ratio does not include the $521 million of convertible notes, which we repaid in March. Adjusting for that, the leverage ratio would have been reduced by slightly less than a third of a turn. And now back to you, Fernando.
Fernando Gonzalez: Given the strong momentum in our business in fourth quarter, we expect 2021 EBITDA to reach around $2.7 billion on a like-to-like basis. This guidance assumes FX rates as of December 31, 2020. EBITDA growth should be supported by consolidated volume growth in the range of 1% to 3% for our three core products. Regions such as Mexico, SAC, Western Europe and the Philippines should show stronger growth due to the more stringent second quarter 2020 lockdowns. The U.S., which exhibited strong growth last year despite COVID-19, should continue to grow but at a slower pace than 2020. We estimate the impact of the second quarter 2020 volume loss to be $160 million, which will be an important tailwind this year. We also expect that formal sector demand in Mexico and SAC will continue its recovery as GDP growth returns. Regarding pricing, we will continue to aim to recover input cost inflation in our products. For cost of energy per ton of cement produced, we forecast an increase of around 10% with both fuels and electricity costs rising. To give you a sense of the impact of energy in our business, in 2020, our total energy bill represented more than 8% of our total cost of goods sold plus operating expenses or approximately $1 billion. With a global pandemic raging, market visibility, while improved, is not perfect. As a result, with the exception of CapEx, we will maintain the prior-year’s austerity program. We will offset the impact of 2020 nonrecurring cost savings with additional savings from actions already taken in the prior year. Given last year’s performance, I’m not willing to delay further our plans for medium-term growth. Therefore, we will spend once again on growth CapEx and sustainability in 2021. Guidance for total CapEx is around $1.1 billion, a level more in line with our 2020 pre-pandemic guidance. While deleveraging remains the clear priority, we will look to accelerate our bolt-on investment program. We will be disciplined in this front with all investments meeting high IRRs and short payback criteria. Investments will be focused on developing our four main businesses of cement, ready mix, aggregates and Urbanization Solutions, while maintaining our commitment to sustainability. We expect an investment in working capital of between $100 million and $150 million. Cash taxes are estimated to be about $225 million. We expect financial expense to be approximately $615 million, $100 million less than the prior year. This reflects close to $50 million savings from the recent liability management exercise as well as savings from debt pay down in 2020 and 2021. Our regional volume guidance is in the appendix. And please note that given the recent growth and relevance, we now guide to Dominican Republic and Israel. We expect coronavirus to be a less disruptive force in 2021 and that vaccines will gradually return the world to normalcy. Regardless, we have learned to coexist with the virus, and we believe governments have learned what measures are most effective in fighting the disease. Therefore, we do not expect our industry to suffer through the shutdowns that we saw in second quarter 2020. This coupled with recovery of the formal sector in Mexico and SAC, provide an important tailwind to the year. We expect each of our markets to see economic growth this year as they rebound from last year’s historic GDP declines. Monetary and fiscal stimulus in the U.S. and Europe should continue to provide a supportive backdrop. Additionally, we are optimistic that the European Union Green Deal as well as an eventual Biden infrastructure program will be supportive of demand over the next few years. As you know, we are a cyclical industry, and today, almost all of our markets are at a favorable point in the cycle. Mexico and SAC appear to be in the early parts, while the U.S. and Europe are at a more mature but sustainable position. Energy in 2021 will be a headwind, but with tight supply/demand dynamics in most markets, we believe pricing should be supportive. We continue to see strong growth in our two largest markets; the U.S. and Mexico. Finally, we will look to advance materially on our carbon reduction goals. We are entering 2021 with tremendous momentum, and I’m optimistic about the year. And now back to you, Maher.
Maher Al-Haffar: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to prices for our products. And now we will be happy to take your questions. Operator?
Operator: [Operator Instructions] And the first question will come from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Good morning. Fernando, Maher, first of all, congrats on the results that was clearly an impressive finish and a very positive outlook for 2021. So that’s actually bringing me to my question. So Fernando, what is next? I mean if we do a simple math, you were at roughly 4 times leverage now Just assuming your EBITDA guidance, other cash flow items, leverage is likely to go down to roughly 3.5 with that EBITDA number. One more year and then we’re down at 3, which is essentially the target you’ve been looking for, for a few years now, and you’ve definitely done good steps ahead. So, on the acquisitions you’ve talked about, the strategic piece, could you elaborate a little more into what geographies you’re thinking into what potentially could be on the plate? And also, how much of a benefit you had over the last couple of quarters having done so much on the digital platform, CEMEX Go and basically being able to serve customers despite adverse environments and operating environments? Thank you.
Fernando Gonzalez: Yes. Thanks, Benjamin. Let me start with the first question in terms of what’s next. Well, you know what, on the one hand, we are very pleased because of a – in a very challenging year, it happens that we – the markets and our actions resulted in pretty well results, which is a robust base for our expectations in 2021. Strategically, what we have been commenting lately, a couple of years, let’s say, is that we have made some adjustments to our strategy. And I will try to summarize those because it might, can be able to very lengthy conversation. But basically, what is it that we have adjusted? First, we want to evolve our core portfolio with investments, mainly the U.S. and Europe. Second, we will be making selected divestments, mainly or particularly in emerging markets. Third, we are concentrating or focusing in high-growth metropolises, particularly in U.S., Europe, also Mexico, to some extent, South America. It’s mainly U.S. and Europe and another relevant adjustment is that we are considering – we have already almost two years considering exploring bolt-on investments as well as acquisitions, again, mainly in the U.S. and Europe. So we can invest and we can grow our EBITDA in those markets. With that combination, what is it that you can expect, Ben? Well, you can expect EBITDA growth, mainly in developed markets, like the ones I have already mentioned. Of course, last year, COVID was – we needed to put attention to the type of decisions we took, described by Maher and myself. So it would not – there was some delay in the process on investing – on making these bolt-on investments and acquisitions. But we have already, again, speeded up the process. We are meeting every other week in each region with the management team and strategic planning team in order to go through the most attractive investments we can do. We have hundreds of small bolt-on investments and acquisitions. Let’s say, about 40 to 50 of them are – they are already in execution. They can add up to $50 million of EBITDA this year already. And the characteristic of these investments is that they are small, marginal, highly related to our business. It’s marginal for us to develop those businesses, risks are low. So we are engaged in that process. So what is it that you can see? You can see that CEMEX is moving from its strategy of deleveraging, only reducing debt to a much more balanced strategy, allow because of – as you mentioned, because of our leverage ratio that is more convenient than we were used to have years ago. So now what you can expect with this investment: short paybacks, high returns, using some of our free cash flow to do those investments, continue reducing our debt. But again, I think, it will be EBITDA growth, the difference when compared to what we have focused in the last few years. So that – those are the comments I can make to your first question. On the second one on CEMEX costs, what I can tell you is that it’s been a very valuable learning experience. As you know, we managed to put in all our markets, there is some exception there, but in most of our markets, we have managed to put in place a very comprehensive end-to-end digital platform for all our products: cement, ready mix, aggregates and that has helped us a lot. Of course, we didn’t expected the pandemic. And you know what? The pandemic have – on our business and on CEMEX Go, didn’t have the same effect that COVID had had in other businesses. It was an accelerator of the adoption of these platforms. So currently, or last year and this year, our employees at home can do business with our customers, their employees also at home. So it’s been very convenient. I cannot make a calculation in terms of the specific impact, either in market share or for the business raised. But what I can tell you is that, clearly, it has complied with its objective, which has been developing a superior customer experience. So the experience we can offer to our customers today is much more superior than the one we used to provide before, and I’m sure it’s superior to what other options are in the market. I might not know everything, but so far, there are some other companies developing and going through this idea of having digital platforms. I’ve seen some progress, but not to the extent of offering end-to-end, all processes, all products, all geographies. So that is very convenient. Perhaps the most important issue is that now that we have learned what we have learned, I feel we are back to square one on the potential of developing commercial relations and adding business activities in the construction space through the enlargement of the scope of CEMEX Go and then into digital businesses in that space. I’m really thrilled looking at the potential opportunity. The construction industry, as a whole, is not an industry that has been very proactive using digital technologies, perhaps with the exception on the design and engineering part. But I think there will be lots of activities on business models evolution in construction because of new technology use in those processes. Let me add because I’m not sure that I did comment it on the first part on strategy. There was also another material change which is enlarging our definition of core businesses. We added what we are calling Urbanization Solutions as the fourth leg of our core businesses, so now in cement, ready mix, aggregates and Urbanization Solutions. So what you can expect is for our – we have a small size of businesses in that space. So what you can expect is that small business will grow much more than the other three. I’m really positive on the possibility of increasing materially our EBITDA through these investments and acquisitions. I think we have waken up, or we have strengthened the muscles that we have not been using and I do see very positive results. So that’s what I would say to you.
Ben Theurer: That was a very complete answer, Fernando. Thank you very much and I’ll leave it here and congratulations again.
Fernando Gonzalez: Thanks, again.
Operator: Your next question will come from Francisco Suarez with Scotiabank. Please go ahead. Pardon me, it seems that Francisco has left the question queue. Our next question will come from Carlos Peyrelongue with Bank of America. Please go ahead.
Carlos Peyrelongue: Thank you, Fernando, Maher, congrats on the impressive results. Two questions, if I may. First one is related to energy prices. You mentioned that for this year, you’re expecting EBITDA to grow about 10% and energy cost also to grow about 10% without the non-sustainable cost-cutting initiatives that were implemented last year. So does this mean that the prices are going to be able to more than compensate increases in energy costs? Could you walk us through a little bit as to how you achieve that 10% EBITDA growth? That would be the first one. And the second one would be related to the U.S. market. If you could provide some color as to your expectations on potential new infrastructure packages out of the U.S., and particularly the FAST. Is there any chance of a proposal? The Democrats were very aggressive last years in the proposal with a major increase on a per-year basis. If you could also comment on that, it would be helpful. Thank you.
Fernando Gonzalez: Yes. Thank you, Carlos. You know what? The communication, the sound was not that clear to me. So what I understood in your first question is on our outlook of our guidance of an EBITDA growth of around 10% for this year. Did I get the question correctly?
Carlos Peyrelongue: Yes, that’s it. Also, to tie that up with the increase in energy costs, and again, not having extraordinary cuts on cost as you had that last year that are not sustainable for this year.
Fernando Gonzalez: Yes. So let me then start by saying, Carlos that we struggled to decide on providing or not providing guidance. We ended up deciding doing it because we – even though there are risks still because of 2021 being COVID year number two, that’s the way we are defining it, I think there is – that there are many positive reasons that make us believe that this will be a better year. One thing that we should clarify, I mean, we have been commenting that, but it’s don’t forget that 2021 has a tailwind of the base effect, meaning we lost cement, ready mix and aggregate volumes in a very material manner in the second quarter of last year. And as we mentioned, because of what society has learned, what we have learned, what governments have learned, we are not expecting massive lockdowns during this year. We might be right, we might be wrong, that’s what we believe. So there will be a base effect. We think we lost about $160 million of EBITDA last year to the impact of COVID in our volumes. So that’s one sizable tailwind. And as you saw, it’s different per country or per region. The U.S. was not impacted. Mexico is a very special case because we were impacted in the formal construction, meaning mainly our ready mix and aggregate businesses, and we were impacted in cement, bulk cement. Remember that the lockdown in Mexico was only for formal construction, but the lockdown didn’t apply to retail or bagged cement, which is 65% of total volumes of cement. So on the one hand, there is a sizable impact. Then we do see still a tailwind in the recovery of volumes. So again, let’s use the example of ready mix and aggregates in Mexico. The recovery in those sectors was delayed when compared to cement. So instead of recovering, let’s say, fully last year, there was a sizable recovery, but there is still going on. So between the base effect and the recovery that is still pending with current business activity or economic activity in Mexico that will be another tailwind. Pricing should be another tailwind. Remember that last year, for instance, in the case of the U.S., even volumes were not impacted, prices or price increase in processes were disrupted in April. So there has been inflation. We are expecting more inflation in fuel this year, about 10% or so, as we commented on that. But seems like the economic activity in our sector continues being robust. Several markets in the U.S. are – I mean, our plants are fully utilized. So I think on the pricing side, we should – we can expect positive news also. On the energy part, last year, it was a tailwind last year. What we are expecting this year is for pet coke prices to increase. It is still very uncertain because of the way the several industries like the airline industry has been impacted and continue being impacted. There might be material changes in the supply and prices of pet coke. We know that. So we are preparing – or we are prepared. We are constantly looking for the best balance of our fuels. As you can imagine, we are planning to increase our alternative fuel proportion in our fuel mix. We have very sizable projects in that regard. We already have some cement plants with negative cost, meaning fuels being an income, not a cost. That is particularly the case in some plants in Europe. So yes, I think that all in all, fuels this year can be – could have a negative impact. So that’s more or less what I can say. We believe that our guidance on 2.7 is doable. So we’ll see. And there was a second question, Carlos?
Carlos Peyrelongue: Yes. The second one was related to your expectations of getting a new FAST, new highways and bridges five-year plan with an increase versus the previous one. The Democrats have been proposing a major increase in that regards. Is there any color that you could provide? How you see that evolving throughout this year?
Fernando Gonzalez: Carlos, unfortunately, I continue having a problem with the sound.
Carlos Peyrelongue: Can you hear me better there?
Fernando Gonzalez: Yes.
Carlos Peyrelongue: Sorry. So the question is related to the possibility of a new five-year highway and bridges plan in the U.S. So the FAST Democrats proposed last year, a major increase in investments on a per-year basis, about 50%. If you could provide some color as to the expectation of an approval and a potential increase in that particular program.
Fernando Gonzalez: Do you want to take that one, Maher?
Maher Al-Haffar: Sure, Fernando. Yes, absolutely. Yes, Carlos, the – we’re quite optimistic about the Biden administration’s proposals. As you know, there are two proposals out there, one that was passed by the House last year, and that was for about $1.5 trillion. And then Biden came in with a slightly less detailed plan of about $2 trillion. I think the most important thing is to focus really on the cement-intensive component, which accounts about a third to maybe a little bit less of both of the proposals that I just mentioned just a second ago. And we’re – we think there’s perfect alignment. We do believe that the increase could be somewhere between 30% to 40% funding certainly in 2022. We don’t think the impact will hit in any material way in 2021. We think that spending is going to be flattish to slightly up in 2021, but the big impact, probably 30% to 40% in the area of $60-plus billion of expenditures, will come in, in 2022. So we’re quite optimistic about it. And this will dovetail very nicely with the current FAST Act, which is going to be coming up for renewal in September of the end of this year.
Carlos Peyrelongue: Great. Thank you, Maher and Fernando and congratulations.
Maher Al-Haffar: Thank you very much, Carlos.
Operator: And now we will have a question from the webcast.
Maher Al-Haffar: So Fernando, the question that we have from the webcast is from Anne Milne from Bank of America on the fixed income side. The question is congratulations on excellent results and big progress on the debt side during 2020. Given CEMEX’ outlook outlined for 2021, do you think CEMEX’ debt levels can drop below 10 billion by the end of the year, and after all your recent activity on the debt front, what should we expect in 2021, more liability management? Fernando, would you like me to take that question?
Fernando Gonzalez: Yes, please go ahead.
Maher Al-Haffar: Yes. So based on the guidance that we’ve given for our full-year EBITDA, we – and all of the elements that we’ve guided to at the free cash flow level, we feel it’s not unreasonable to assume that we would be on a net total debt plus perpetuals, net total debt plus perpetuals. It is not inconceivable that we would be below the $10-billion mark for the end of the year. It could be more depending on the performance. Now as far as what could we do more, I mean, the reality is that there’s a lot of opportunities for additional liability management for the year. We have – we haven’t called all of the notes that are due in 2025. We still have about $300 million of those. We also have some very expensive perpetuals. I mean those are probably the most expensive on our capital structure. There are also additional callable bonds or the euro-denominated bonds that come due in 2024. So there’s a lot of opportunities, frankly, that we can still do things during the rest of the year that should continue to improve our cost of debt and improve the maturity structure of our debt that is coming up here. I hope that answered the question. Operator?
Operator: Your next question will come from Francisco Suarez with Scotiabank. Please go ahead.
Francisco Suarez: Thank you. Good morning. Congrats on the strong beat, particularly on the superb execution that you, Maher and Fernando, on the things that you can control. That’s impressive. And also, congrats on the new milestone of allowing your kilns in Europe to be fed by hydrogen. Two questions. On hydrogen injection, what could we expect on the share of hydrogen in the mix on your European operations? And if that might or not affect your margins, other things constant. The second question that I have is on the great guide on Mexico, where we see the volume on cement compared to what ready-mix volumes are. It seems to me that Mexico doesn’t seem to be an economy that can grow alone on self-construction. Your volumes in ready mix already declined by 14% in 2019 and in 2020, they declined by another 16%. So the question is, how sustainable the recovery in Mexico might be without the support of the formal construction sector?
Fernando Gonzalez: Yes. Thank you, Francisco. Let me start with the second question. I think our guidance for ready mix and aggregate volumes in Mexico for 2021 are highly impacted by the base effect, meaning, I think we mentioned during the presentation, our volumes in Mexico were impacted very materially because of the lockdown during the second quarter last year. But as you know or as you might remember, the lockdown was a lockdown for formal activity with the exception of the large further out projects. But there was no lockdown for retail sales, meaning for bagged cement. So our cement volumes dropped, but our ready mix and aggregates, they did drop like five or six times more. Also, once the lockdown was finished, cement recovered much faster than ready mix and than aggregates. Most of the recovery we saw last year in ready mix and aggregate, happened during the third quarter, to some extent, also a little bit in the fourth quarter. So what we can expect is still a tailwind on formal construction, increasing volumes, but we will see mainly the base effect. As I mentioned during our assumptions for this COVID year two, is that we will not see massive lockdowns like the ones that we saw last year. So meaning, if we lost like 40% of ready mix and aggregate volumes for the quarter that will be translated into growth this year, so that’s on our expectations on ready mix and aggregate growth in Mexico for the year. On hydrogen, we are very pleased with the results that we are getting from hydrogen. Nowadays, we have all our cement plants in Europe with the use of hydrogen, and we are moving for a global implementation of that technology. I don’t have any specific number related to hydrogen because hydrogen is part of a larger solution in alternative fuels. And so what we will see is an increase – on the one hand, an increase in alternative fuels and on the other hand, a reduction in costs because of a reduction in energy consumption. This is a very interesting technology. A few years ago, we were not thinking on applying massively. We were trying, experimenting, innovating in that space. So now it’s a reality, and we are moving into implementation. As we commented, we do have a very specific plan per plant on our CO2 reduction, our goal of a 35% reduction by 2030. I would like to take the opportunity to clarify or to confirm that we are pretty sure we can do it. The reason is very simple, we have already done it. Last year, our cement business in Europe managed to reduce using the 1990 base, which is the base everybody uses, and managed to reduce 35%. And because of that and because of our need to align our aspirations, in this case, particularly to European aspirations, meaning the new Green Deal, we have committed to reduce our cement business in Europe to a reduction of 55% by 2030. The good news is that solutions like hydrogen, solutions like alternative fuel, solutions like alternative raw materials, fillers and several technologies, products, raw materials and processes, all of those are known and proved. There is nothing that we have to – let’s say, to invent or to discover to get to that reduction. The main issue on innovation for us, and we are already engaged in several alliances and innovation processes, is carbon capture and use. That is the technology that we are putting lots of attention and focus to complement our CO2 reduction plan. As I said for that, again, hydrogen is a piece. We would like to – how to say it, we would like to be able to somehow explain the benefits of a green and circular economy. The cement industry is in a circular economy, the cement industry has solutions. Cement – a cement plant can process 30 times the residues that we do produce. It’s a cleaning industry when considered in a circular economy, which is what we think is the future, a green and circular economy. So that’s what I can comment on hydrogen, and in general, our efforts to reduce our CO2 production in cement plants.
Operator: Thank you. Your next question will come from Yassine Touahri with On Field Research. Please go ahead.
Yassine Touahri: Yes, good morning. So I would have a couple of questions. I think my first question would be on the Biden agenda on climate change. It includes the enforcement of a mechanism based on the principle that industries emitting CO2 must bear the full cost of the carbon they are emitting. However, it doesn’t look like the Democrats have large enough majority in the Senate to implement every item of Biden’s program. So my question is, do you have any update on the discussion between the U.S. Cement Association and the new administration regarding a potential carbon tax on your U.S. CO2 emission or on a potential increase in U.S. corporate tax rates? That would be my first question. And then I will have a second question. Could you quantify the tailwind you got from lower DSL and logistics costs in 2020? And what kind of inflation do you expect for 2021?
Fernando Gonzalez: Okay. Let me take the first one, Maher, and you can take the second one. If I understood correctly – and I continue having problems with the quality of the line, but if I understood correctly, it is about the orientation of the new government in the U.S. in regards to a green economy. I think what we have seen…
Yassine Touahri: And then could we have a carbon tax?
Fernando Gonzalez: Sorry? Sorry?
Yassine Touahri: Yes. My question is, could we see a carbon tax on the U.S. CO2 emission? Or could we see a potential increase in corporate tax rates in the U.S.?
Fernando Gonzalez: I was going to say that, to me, at least, it’s very early to say if that is going to happen or not. But if it happens, I won’t be surprised. I think – look at California, look at the trials we started in Mexico on CO2 taxes. In three years, CEMEX will have 60% of its cement capacity production regulated on CO2. That is the future, and we need to be prepared to that future. Now let me – allow me to make a simple comment. We’ve been focused on climate change and also sustainability for decades. To some extent, we have been observing and being active in the process. What we saw last year, it was – let’s say, it was very interesting because it was a year in which society was clearer on their demands on moving the economy to a green economy. And regulators do pay attention to society. The case of Europe to me is very clear. There is now a Green Deal that is much more stringent in its targets of CO2 reduction, and they have put in place a program to remodel 35 million buildings in Europe to reduce their CO2 emissions. So I think that the only thing that we can expect or I can expect on that regard is that there will be more and more. I’m not sure if this is the time for the U.S. with this government for that to happen, but it will come, it will come. On the other hand, I think, we shouldn’t make a negative interpretation of this trend on a green economy. And a green and circular economy is the only economy in which our highest production cost, which is fuels, can be an income. So I think we have to approach the green and circular economic in an open and optimistic way. Could you take the second one, Maher?
Maher Al-Haffar: Yes. Yassine, if I understood you correctly, the question is about distribution cost. Could you – is it about the trend of distribution costs? Or what were you – what was the question?
Yassine Touahri: Second question. No, no. The question was, could you quantify the tailwind, the gain that you got from lower diesel costs and lower logistics costs in 2020? And then what kind of inflation you expect in 2021?
Maher Al-Haffar: Did you say SG&A was the first one?
Yassine Touahri: No, logistics and diesel costs.
Maher Al-Haffar: Logistics and diesel cost?
Yassine Touahri: Yes, in 2020 versus 2021.
Maher Al-Haffar: So – yes. So energy, in general, as we said, was 10% tailwind for the year. And so that’s – I mean, the total energy bill is roughly – that’s around $100 million essentially, I mean, the savings, right? And in terms of going forward – I mean, in terms of going forward, diesel is about 2% of the total bill, and that’s about – the total expense is about $250 million. And we have about half of the amount that we would need for this year already hedged. Now the hedging is probably going to be translating to a little bit of a headwind going into 2020 – into this year. So – but beyond that, I mean, I cannot give you an actual percentage of what we’re expecting on the diesel component.
Yassine Touahri: Thank you very much.
Maher Al-Haffar: Thank you.
Operator: And now we’ll have a question from the webcast.
Maher Al-Haffar: The next question from the webcast is Francisco Chávez from BBVA. And Paco has two questions, both are on the U.S. The first question is, what was behind the weak performance in pricing in 4Q? And the second question is, can you provide a breakdown on volume growth on your four key markets? Fernando, would you like me to address that? Or would you like to do that?
Fernando Gonzalez: Yes. Please go ahead, Maher.
Maher Al-Haffar: Yes. Paco, the – we had a little bit of a sequential drop in cement prices, about 1% sequentially, fourth over third. The primary driver – there are – three kind of things were moving in the fourth quarter that contributed to that. One is geographic mix. We had, as Fernando mentioned earlier in the call, very, very healthy growth in California, like quite a bit more, almost double the rest of our markets in terms of the percentage growth. And that part of the region has lower pricing than the national average. So that’s one contributor. The other contributor was an internal change in how we treat industry imports, which are lower-priced. We’re including them now in our pricing. So that also tends to – that contributed to the sequential drop in pricing. And the third item, we had an important project, an infrastructure project in our Texas business that had attractive pricing and terminated. And so those are the three things that contributed to the sequential pricing, having said that, we – if you adjust for these different three dynamics, prices were actually positive in our markets. I hope that answers the question, Paco. Operator?
Operator: Yes. And we have time for one last question, and that will come from Adrian Huerta –
Maher Al-Haffar: Sorry, operator, I think there was another piece of the question that I did not address, which is growth in our markets in the U.S. Just in response to that, I would like to say that, as you saw, volumes were up in the mid-teens for the whole business. And on average, I mean, our volumes were up double digits in all markets except Texas, which was in the – slightly lower than that. Sorry about that, operator. Next, please?
Operator: No problem at all. Our last question will come from Adrian Huerta with JPMorgan. Please go ahead.
Adrian Huerta: Thank you. Hi, Fernando and Maher, congrats on the results. Quick question just on the CPN plant, if you can just give us more details on the difference on production cost for this plan versus what you have in the U.S. And if the plan is to – at least, initially, is to reduce imports that you currently do into the U.S. from other parts of the world or is to potentially gain market share given some plant closures that we have seen in California, etc.
Fernando Gonzalez: Well, thanks for the question, Adrian. What I can tell you is that with a marginal investment, we will be prepared to take advantage of the current situation in the market in Arizona and California because of plants that have been shut down, because of increasing shipping costs for imports. So I think what we are going to be doing is taking acquisitions with this additional cement. Of course, it has to be done in total combination with our U.S. business, meaning it is an option for them, of the U.S. on how to manage this cement that will be available from CPN.
Adrian Huerta: Thank you, Fernando.
Fernando Gonzalez: Thank you, Adrian.
Operator: This concludes our question-and-answer session. I would now like to turn the call over to Fernando Gonzalez for closing remarks. Please go ahead, sir.
Fernando Gonzalez: Well, yes, thanks to all for your participation and your interest in CEMEX. And of course, any time, feel free to call us or the IR team to continue this dialogue. Thank you and stay safe.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect, and have a great day.